Operator: Good morning, and thank you attending UNIFI’s Third Quarter Fiscal 2025 Earnings Conference Call. Today’s conference is being recorded. [Operator Instructions] Speakers for today’s call include Al Carey, Executive Chairman; Eddie Ingle, Chief Executive Officer; A.J. Eaker, Chief Financial Officer. During this call, management will be referencing a webcast presentation that can be found in the Investor Relations section of unifi.com. Please familiarize yourself with Page 2 of the slide deck for cautionary statements and non-GAAP measures. I will now turn the call over to Al Carey. Please go ahead.
Al Carey: Thank you. Well, good morning, everyone, and thank you for listening in on our call today. I started off by telling you about over the last few months, we've been working on several initiatives to rationalize our assets and improve our profitability for our North American business. And the work is in flight right now as we speak. It will be completed by the end of our fiscal year, which is the end of June. So we're coming down the homestretch for another eight weeks. The work includes, let me list five things to tell you about. One is we're closing our Madison, North Carolina facility in mid-June. And we've been moving the assets out of Madison into our other North Carolina facility in Yadkinville and in our facility in El Salvador, Central America. And they will pick up all of the volume that Madison has been doing. So we're going to see a much improved capacity utilization in these plants very quickly. The second item I wanted to mention is we are removing all the costs from the Madison facility. It's quite a big facility at 950,000 square feet. And we're making additional cost savings in the rest of our North American operation business. And those projects are completed by the end of June and will show up in the new fiscal year as savings. Our third activity is the sale of the Madison facility, and that's expected to close soon. And that will provide us with proceeds that are going to allow us to make a significant improvement in our balance sheet and to retire some debt. The fourth item I wanted to mention was we're seeing an improvement in demand in North America in general, but especially in the Central American region. And there are several large brands and retailers that have begun to move production into Central America, even before all these tariff discussions began. It seems like a good place to offshore and also to have a closer supply chain to the U.S. So now with the tariff situation that's going on, it's an even more compelling decision, and it provides some geographic facility for these brands and retailers and a little data point that's worth looking at. I wouldn't make any promises on this, but more than 50% of our business in Central America recently has been REPREVE. So this bodes well for the future. I would say we can expect something in that range or possibly better as we move forward. This is dependent on the new customer orders that come in from that geography. And then the final one I'll mention is we continue to work on innovation, innovation that is very profitable for our business. And we have traction in both of the areas that we've been spending time on. And you should see that revenue start to pick up into the new fiscal year. In North America, we've mentioned before the products in outside of apparel categories. And most notably, we've really got traction on military wear and also on carpet. So these orders are coming in now and they're going to build momentum. And it's very positive for us as the margins are quite better than they are in our base business. And then in Asia, we have these REPREVE innovations that have been gaining traction, small right now, but going to be bigger into the new fiscal year and beyond. And that's especially for these products that fall into the circularity segment, such as textile takeback and thermal insulation. The circularity is a concept that is very, very interesting to young consumers and therefore to our customers. And we're going to speak about this more in the upcoming quarters. So both the REPREVE innovation and the outside apparel business are starting to pick up, but they have favorable margins. And they'll also be a great opportunity to grow our business and UNIFI down the road. So that's a summary. We're optimistic. The work we've been doing shows some real light at the end of the tunnel. And I believe that it's going to give us the opportunity to return to growth and also to have solid economics beginning in the new fiscal year. So with that, let me turn it over to Eddie and AJ. They'll now be taking you through the real meat of our Q3 presentation. And then there'll be further discussion about our overall business. So, AJ.
Eddie Ingle: Thanks, Al. This is Eddie. Before I begin my prepared remarks, I'd like to recognize Tom Caudle, who died last Friday after a protected illness. He was a true UNIFI champion and built a 40-year plus career at UNIFI, rising to become the President and COO before his retirement in June 2021. He was a loved and respected leader of UNIFI in the textile industry and will be missed by all. So on behalf of all those at UNIFI and many other industry leaders, I'd like to take the time to pass on our deepest condolences to his wife, Anne, and his family. Turning back to the call, as Al just mentioned, our results for the quarter were in line with our expectations, driven primarily by improved performance in our Americas Segment due to the positive traction we have experienced with our Beyond Apparel and REPREVE fiber initiatives and the ongoing recovery, as Al mentioned, of our business in Central America. And before I dive deeper into the drivers of results, I'd like to start by providing an update on both our U.S. manufacturing transition that we announced back in February and the ongoing situation with tariffs. We recently announced that we have entered into a real estate purchase and sale agreement to sell our Madison, North Carolina manufacturing facility for $53.2 million, which will help reduce our outstanding debt and enhance our financial position once finalized. AJ will provide greater details on the sale and the cost of this transition shortly, but we are very pleased with this outcome, particularly with how quickly we were able to reach an agreement. This sale marks a significant step in our efforts to optimize our business and improve our balance sheet. The Madison facility has been operating below capacity for an extended period of time now, and with the planned ceasing of operations set for mid-June, our remaining yarn facilities in North and Central America will begin operating at much higher levels of capacity. This improvement in utilization is anticipated to meaningfully enhance our liquidity and margin performance without having to sacrifice any sales volume or ability to grow over the next few years. As we have previously noted, we will continue to consider additional steps to improve both the strength of our balance sheet and our financial performance to ensure that we remain well-positioned to pivot to growth in the near future. Turning now to what the recent tariff announcements will mean for our business, while there continues to be a fair amount of uncertainty regarding how this tariff situation will play out, there are several areas of our business that could benefit, and others that could be negatively impacted. For instance, in our Americas Segment, we do believe that if the tariffs on China and some other nations stay in place, our business in the U.S. will be poised to benefit from the improved competitive environment given the increased costs of importing garments and textile-related goods. Furthermore, our recent efforts to adjust our footprint and maximize the value of our remaining facilities in the Americas put UNIFI in a great position to capitalize on a potential increase in demand. In Brazil, in the medium term, we do not anticipate that we'll see any meaningful volume impact from the tariffs given that our commercial activities take place within the country of Brazil. While there is a possibility that near-term dumping in the region could increase as a result of the heightened tariffs on Asia-related countries, we do believe that our strength and value-added positioning in Brazil should help mitigate the large majority of that risk. As for our Asia business, the impact of the recent tariffs continues to remain uncertain. If the current tariff levels remain in place, we do anticipate that our results in the region could be negatively impacted. That said, as many of you know, we operate an asset-like model in the region and in multiple countries in Asia. We are working on several options to mitigate risk as we gain more certainty on the path forward and determine which levers to pull. To sum up, while the global tariff situation remains very fluid, we are monitoring the situation closely and believe that we'll see some pushes and pulls which we hope would end up being net neutral to positive for us over the next few years. Transitioning now to an overview of the quarter on slide 4. During the third quarter of fiscal 2025, we reported $146.6 million in consolidated net sales, which were slightly down compared to the prior year period, primarily due to the less favorable sales mix and lower sales volumes in the Asia Segment and foreign currency impacts. In the Americas Segment, we saw an increase in net sales during the quarter compared to the previous year, driven by our Beyond Apparel initiatives and the continued positive momentum in Central America. Our Brazil Segment has continued to perform well due to an overall stable to strong market for textured polyester, despite some pricing pressures from inbound Chinese goods and foreign currency impacts. We expect that this trend will continue in the fourth quarter. As anticipated, our Asia Segment results experienced a seasonal impact from the Chinese New Year in February and continued macroeconomic pressures. As I noted earlier on the call, we're monitoring the tariff environment on a daily basis and will make adjustments to maximize our results once we have more clarity. Turning now to slide 5 for an update on REPREVE. During the third quarter, REPREVE represented 31% of sales and they were in line with the previous year as we continue to experience the impact of macroeconomic pressures in China. However, we continue to believe that we'll see an improvement in our REPREVE fiber business during fiscal 2026, as our recently announced REPREVE Takeback filament yarn and Thermaloop products begin to gain traction with our customers. Moving now to slide 6 to highlight some of our recent marketing efforts. A standout of these efforts was the global launch of INTEGRATE, the industry's most comprehensive multifunctional sustainable yarn that we unveiled at the Premier Vision Paris trade show, where it drew strong industry interest. We also broadened the impact of REPREVE Takeback, our circular recycling solution. This quarter, it was featured in Walmart's Joyspun Socks and Faherty's All Day Short and was promoted through their online and social media campaigns. In April, we launched REPREVE with CiCLO, a technology that helps to reduce microplastic fiber pollution by enabling synthetic yarns to break down more like a natural fiber. Also, our co-branding strategy has continued to strengthen, with key partners including H&M, Bass Pro Shops, Marmot, and Poodle and Blonde highlighted REPREVE products across their channels. As an example, Bass Pro Shops is highlighting REPREVE signage in all 163 of their stores and is also promoting the line digitally. During Earth Month, we honored brand partners through our long-running REPREVE Champions of Sustainability initiative. Winners included Nike, Target, Walmart, Polartec, and Tekong, with special recognition to New Balance, Swanee’s, Marmot, Malibu C, and many others. One of this year's winners, Marmot, plans to debut a Thermaloop insulated product in the fall and winter of 2025, which we're obviously very excited about. As we move through the quarter, our media presence grew with broad coverage in high-profile outlets, including CNN Underscored, Harper's Bazaar, and Sports Illustrated Swimsuit, generating strong brand visibility. Finally, over the past few months, we also received several significant accolades, such as REPREVE being recognized by Fast Company for its textile-to-textile recycling efforts. Our Thermaloop product won multiple awards for circular innovation, including Just Dial Excellence Award and the SEAL Sustainable Product Award. UNIFI was named one of Newsweek's most responsible companies and recognized by USA Today as one of America's Climate Leaders for 2025. Furthermore, the Association of Plastic Recyclers honored UNIFI with the Recycling Technology Leadership Award. These milestones and awards underscore the recognition our commitment to innovation, circularity, and sustainability leadership is getting in the marketplace. With that, I would like to pass the call over to AJ to discuss our financial results for the quarter.
A.J. Eaker: Thank you, Eddie. As Al and Eddie mentioned earlier in the call, our third quarter results met our expectations as we continue to make significant progress in positioning our business for future growth and profitability following our recently announced transition. We remain committed to carefully managing variable expenses in both production and administrative functions. This disciplined approach aims to achieve meaningful cost efficiencies and enhance profitability, which will be reinvested into critical growth areas, particularly in our Beyond Apparel and REPREVE Fiber initiatives, which will strengthen our revenue performance and support sustained margin expansion. Moving on to the financial results on slide 8, you will see our consolidated financial highlights for the quarter. Consolidated net sales for the quarter were $146.6 million, down 2% year-over-year. The decrease was primarily driven by lower volumes on a weaker sales mix in Asia and unfavorable foreign currency effects in Brazil, but was partially offset by improved volumes in the Americas, as Eddie mentioned. Turning to slide 9 in the Americas Segment, net sales were up by 3% compared to the prior year due to the benefits of our recent sales growth initiatives and an improved environment. Gross margin in the Americas Segment experienced a decline of 350 basis points during the quarter, driven primarily by inflationary pressures and transition costs related to the manufacturing footprint reduction. Slide 10 displays our Brazil Segment highlights, with the segment seeing continued strength due to our strategic position in the region with full capacity utilization. While costs and pricing are dynamic in this region, the Brazil operation continues to perform well. Finally, on slide 11, Asia saw net sales and gross margin decline by 12% and 150 basis points respectively, due to the continued challenges in the region for both sales mix and pricing dynamics stemming from macroeconomic pressures there. I'll now briefly discuss our U.S. manufacturing transition and the expectation of improved cash flow and leverage position. We are pleased to have reached an agreement to sell the Madison facility for $53.2 million. At this time, we anticipate that the sale will close on May 15, and once the sale is finalized, the net proceeds from the transaction will be used to repay roughly one-third of our outstanding debt, which will result in a $3 million annual interest savings. Going forward, we expect significant savings from the consolidation of manufacturing activities across North and Central America, providing a $20 million reduction to cost of sales. This reduction is comprised of approximately 60% labor, 15% utilities, and the remaining 25% to overhead associated with oversight and upkeep relating to the facility that will inherently cease. From a run rate perspective, we expect these savings to fully materialize in calendar 2026 after the transition of activities has fully settled into our business line and labor productivity has stabilized. As we have noted several times, we expect to complete this transition with no loss in revenues or disruptions in customer service. As a result of this transition out of the Madison facility, we have already incurred a total of $1.3 million in restructuring costs. Throughout the remainder of calendar year 2025, we will incur additional restructuring expenses from this manufacturing transition, primarily as a result of the relocation of equipment, abandoning equipment, a total of which we expect to range between $6 million and $8 million. We will continue to provide additional updates on the progress of this transition and the associated cost savings benefits as the process advances. With that, I will now pass the call back to Eddie to make some final comments.
Eddie Ingle: Thank you, AJ. Now let’s turn to slide 13 to discuss our forecast for the fourth quarter of our fiscal 2025. For the fourth quarter, we are expecting net sales and adjusted EBITDA improving sequentially from the third quarter of fiscal 2025, primarily driven by the further recovery for the Americas Segment and then, of course, moving beyond the Chinese New Year period. Continued restructuring and transition expenses, primarily equipment relocation and abandonment costs, as AJ said, are between $6 million and $8 million. As we have highlighted today, the sale of our Madison manufacturing facility marks a significant step for our business. I want to once again point out the key takeaways of this transaction and the elimination of the yarn production at this site. First, upon closing of this transaction, we will immediately repay $50 million of debt, reducing our leverage and providing the business with significantly more flexibility to invest in future growth and innovation. We will increase the utilization of our remaining manufacturing facilities in North and Central America substantially, which will allow for significantly improved fixed cost leverage. With higher utilization and more efficient operations in the Americas Segment, we will remove over $20 million in costs once the facility sale is finalized and all restructuring expenses are completed. Further, we will save an additional $3 million in annual interest expense. All of these savings will fall to the bottom line by late calendar year 2025, which should get us back to consistent EBITDA profitability, assuming we don't see a protracted global recession. With stronger margins and profitability, we should also return to generating positive free cash flow, which, again, will allow for improved investment and opportunities that will drive long-term shareholder value. Most importantly, we will still have plenty of capacity to support the exciting new innovation products we have outlined earlier, and we will continue to leverage the asset-like model in the Eastern Hemisphere that has contributed well to global growth and expansion. Over the next few months, as noted on slide 14, our focus will be on exiting our Madison facility and increasing the operating capacity at our remaining facilities to support our customers' needs with sustainable and innovative products that will help to create a more circular economy and position UNIFI for future profitable growth. This is a pivotal moment in time for UNIFI, and the management team is energized by the opportunities that lie ahead. With that, I would like to now open the line for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Anthony Lebiedzinski from Sidoti & Company.
Anthony Lebiedzinski: Good morning, everyone, and thank you for taking the questions. Certainly nice to see the continued progress, and it sounds like there's a lot of opportunity here with the closing of the Madison facility here to optimize the business. So first, I guess just a quick housekeeping question, probably for AJ. As far as the FX impact in Brazil, maybe I missed that, but is there a way to kind of think about how much the foreign exchange headwind was for the Brazil Segment?
A.J. Eaker : Yes, Anthony, if you'll give me one second just to reference that, I'll provide that for you in just a moment. You can go with your next question, and I'll come back to you.
Anthony Lebiedzinski: Sure. Okay. Thanks, AJ. Al, you mentioned the corporate and military markets as an opportunity for Beyond Apparel, which you guys have talked about previously as well. But just thinking about what you said as far as margins being better for that versus the other categories, is there a way to put a number on that as far as how to think about that and what the market opportunity is for that?
Al Carey: We don't want to put out a forecast yet because we're dealing with some customer confidentiality, but I would say the margins are at least twice as good as what we sell on our base business.
Anthony Lebiedzinski: Okay. That's great to hear. Okay.
Al Carey: And then the same thing on carpet.
Anthony Lebiedzinski: Okay. That sounds very promising. Okay. Got you. Okay. And then, Eddie, I know you gave a tariff overview. It sounds like it could be a net positive. I know there's a lot of moving parts. It's still a fluid situation. But just wondering, yes, so with the, just to kind of, I guess, maybe kind of related to this, but with the administration also ending the de minimis rule exemption, how should we think about the impact on your business from that?
Eddie Ingle: I think you've put both the de minimis exemption for China and Hong Kong, which happened today, and the tariff, the extreme tariff of 145%, that's in play with China today, sort of all together. You can see companies like Temo and Shein increasing prices by 300%. For us, we've looked at our business overall. We've looked at where we sell into in China. And much of our product that we sell in China actually ends up in fabric form. And that fabric gets exported to the different regions. So most of the other countries that we sell to are experiencing a 10% tariff, which is quite manageable on top of the normal duties that exist for synthetic materials, synthetic garments coming into the country. So I would say the overall impact of de minimis and tariffs lump together. And I would say as we move through the next few months and we get more clarity of what the administration is going to do, we'll have much more visibility. But right now, we expect there could be a downturn in our business in Asia, maybe by 10% or 15%. But it's really hard to know until we get all of the tariffs finalized.
Anthony Lebiedzinski: Got you. Yes. So I know it's still a moving target with respect to that. So we'll stay tuned, okay. And then just to piggyback off of that, as far as just on the Asia Segment, obviously, that's predominantly China. If the tariffs kind of stay in place like this for an extended period of time, is that kind of what you're saying? You think 10% to 15% decline or is there any way to put some additional color on that as far as –
Eddie Ingle: Yes, it is hard to simply -- we've done the analysis. But just to remind you, Anthony, we do have this asset like model that is distributed across Asia. And many of our customers actually buy yarn from us in Turkey, in India, directly in Vietnam, Indonesia. So all those countries have a 10% tariff right now. So the reciprocal tariff is being negotiated with each of these countries as far as our understanding. And we expect right now it is time for the administration to take a more measured approach as they move forward and negotiate country by country. So as long as the reciprocal tariffs stay at the current levels, yes, we are confident that the downturn in our revenues in the Asia model, because of our asset light business we built should be in that 10% to 15% range. But we'll have more visibility on that in the coming months.
Anthony Lebiedzinski: Absolutely. Okay. Thanks for that. And then sort of thinking about the cost savings from the facility consolidation, will we see some of that already in the first quarter of fiscal ‘26, or you think it will take longer for that to materialize?
A.J. Eaker : Yes, thanks, Anthony. It's AJ. I'll start with a follow-up from your earlier question for the FX impact primarily in Brazil. That's about $4 million in the quarter and about $11 million in the nine months. So just a few percentage points on total sales for each period. And moving into the cost savings, we certainly expect some of those cost savings to hit in the first quarter of fiscal ‘26. We do not see the full run rate being realized yet until later in the calendar year, just as we stabilize all of the transition activities, get labor in the position that it needs to be in Yadkinville and have everything fully transitioned. So do expect to see some of that in this calendar year, but not fully realized on a run rate basis until late.
Al Carey: Anthony, the one biggest item, this is Al, when we close down the facility, we're moving new people into Yadkinville to handle the new volumes that they have. And the hiring is going well. We're training people, but it takes a little while for them to get up to speed. And we see improvements every single week, but they're not operating at full out great performance until they've probably had three or four months under their belt. So that's the one item that we're working on the most.
Anthony Lebiedzinski: Understood. Okay. And lastly for me, so I know we talked about Beyond Apparel, you referenced the carpet and military. Previously, you guys had also talked about some other vertical markets like automotive and home furnishings. And obviously there's a lot of macroeconomic concerns and tariff concerns, but after we get past some of this noise here, do you still see that as an opportunity to move Beyond Apparel?
Eddie Ingle: Yes. Thanks for the question, Anthony. Certainly, the areas that we talked about, you're right, automotive, home furnishing, but I'll also add the packaging market in there too, where we sell a lot of our pre-resin into that market. We are excited about the carpet and military opportunities. And military also, the area that we're selling into is also the tactical street where the people use at a more frequent rate. So we're excited about these things, these markets beyond those two. I think packaging for me is the most exciting one that I think we have a lot of opportunity. I've heard a lot of the brands pushing out some of their sustainability targets. The 2025 targets are now being updated to the 2030 targets. Some of these brands are getting some flak for extending it out, but what we're seeing is they're not dropping their sustainability targets. They're just trying to move them out primarily because it's just hard to become more sustainable. And I think there's a greater realization of that. But the good news is they're not backing off on their targets. They're just trying to move them out. So we see a lot of opportunity, not just to move into these new brands and Beyond Apparel, these markets and Beyond Apparel, but also to move these markets into more sustainable footprint. We expect quite a bit of our military business, for example, to move into our REPREVE nylon business. And that's exciting to us. We had that Champions of Sustainability event. We had a lot of brands there. I feel like Hanes Brands, Gildan, traditional textile companies. But we also had Malibu C. We were selling REPREVE Our Ocean into their packaging for their cosmetics. So a lot of exciting things happening Beyond Apparel, not just in the growth of that market, but into moving REPREVE into that area.
Operator: Our next question comes from the line of John Bajer from Pinnacle.
Unidentified Analyst : Good morning. Thanks for taking my question and congratulations on the quick sale of the plant. I guess you mentioned that its anticipated closing May 15th. Are there any significant contingencies that have to be overcome by then? I assume they have for the buyer as financing in place, but other what might I think any contingencies be between now and May 15th?
A.J. Eaker : Good morning, John. Thanks for the question. The main contingency in the contract is just adequate power output. So we're working through that right now and have no hiccups expected there. So still expecting to close around May 15th.
Unidentified Analyst : Okay. Good to hear. And in terms of the $6 million to $8 million of additional restructuring cost, that's in the fourth quarter or that's between now and calendar yearend?
A.J. Eaker : Thanks, John. The majority of that will occur in the fourth quarter. Some could certainly leak into the first quarter just depending on the timing and the overall workload that's required to move machines around. Again, that's primarily machines being moved around, but generally we expect that to be wrapped up in the next few months.
Unidentified Analyst : Okay. And is that cash or non-cash or how does that break out?
A.J. Eaker : Primarily cash.
Unidentified Analyst : Primarily cash. Okay. Good. Kind of a broader question. I was just curious at what point do you start to disclose the profitability of REPREVE? We hear lots about it and you give us the sales number, but from the outside we really have no idea of what the profitability is once you embed all the marketing costs and the trade shows and all of that. So I'm just curious how the board thinks about additional disclosure on the REPREVE, which would certainly help outside investors with their decision making.
A.J. Eaker : Sure. Thanks for the feedback, John. We're certainly proud of what REPREVE accomplishes, especially over the last several years. You can note that REPREVE is a material component of the Asia Segment. So in general, that gives you a pretty good idea of the margin basis there. But right now the current reporting structure will stay for the foreseeable future.
Unidentified Analyst : Okay. When you say a material component of the Asia, what are you telling us there? Could you elaborate on that?
A.J. Eaker : Sure. We've disclosed in the past that REPREVE is 80% or more of overall Asia Segment sales. So we would consider that the largest component of the overall Asia sales and margin profile.
Unidentified Analyst : Okay. So without REPREVE, the Asia margins would be higher?
A.J. Eaker : Not necessarily. We have REPREVE along with value-added technologies. So there's a good strong mix in that segment. So certainly a mix within there that we have not broken out, but we are proud of that Asia Segment margin, whether it's on REPREVE or REPREVE Plus with value-added technologies.
Al Carey: And John, this is Al. We could probably do a better job of telling you more about that. Over the last couple of, I'd say, 18 months, our business has been difficult and there was no real discussion about margins. But as things come back here, in China or in Asia, we have REPREVE Base. We have REPREVE Plus. I would call it stage one. This is another level and there's another level. There's four levels and they increasingly get better margins. And let us think about a way to get that into the marketplace. But our constant effort is to move from REPREVE Plus, which gets a bit commoditized as time goes on, and then you move up to these other stages of REPREVE with the highest level being the Textile Takeback and the Thermaloop stuff that we've just launched. But there's other things in between that are also more profitable than the base REPREVE.
Unidentified Analyst : Okay. I would encourage you to have a deeper discussion at the board level to provide some type of margin analysis on the REPREVE business, which would clearly help investors and perhaps clearly help the stock price.
Al Carey: You got it.
A.J. Eaker: Thanks for the feedback, John. Take care.
Operator: Our next question comes from the line of Randy Baron from Pinnacle.
Randy Baron: Hi, guys. Good morning. Can you hear me? Great, AJ. This has been a super comprehensive Q&A. So most of my questions have been answered, but I just have a couple of administrative ones and maybe one or two high level. Just to follow up on that last question, kind of that focused more on the REPREVE breakdown in Asia. I'm really curious on that slide 11, roughly speaking, what percent of the Asia revenue is China today?
A.J. Eaker: We don't disclose that because a lot of the, like I said in the call, a lot of the products that we sell actually goes out of China, but we don't disclose that.
Randy Baron: Okay. You've said that the transition in Americas is going to be done by the end of the fiscal year. Is that also roughly, it sounds like it is, but is that also, I just want to make sure, is that roughly when all the cash costs are going to be complete?
A.J. Eaker: Yes, I think we had a similar question earlier, Randy. Some of that cash costs would leak into Q1 just based on the overall workload and timing of the machine moves. We don't expect anything to leak past Q1. And again, we expect the majority of that cost, again, primarily cash to be incurred in this quarter, the fourth quarter.
Randy Baron: Okay. And then just two very high-level questions as I hop back in queue. One is, you talked, the REPREVE kind of over 50% of the pies is super exciting. I'm curious if you could just riff a little bit and give some anecdotes about, is it coming from one customer in particular who's pushing, you mentioned some of the logos during the script, but like, just give us some sense of the fastest categories, the vertical, the application that's growing. And then just more broadly at a high level, is there anything else that UNIFI can sell? And congratulations on this recent successful completion. Thanks so much.
Al Carey: Yes. Central America is an interesting market because it generally feeds a lot of the performance athletic wear business. So you have the normal big brands like Nike or retailers like Target and Walmart getting a lot of their supply chain for near term, quick turn. And what we're seeing, what was described earlier is this idea of near shoring. When right after the de-stocking phenomenon happened, business did move away back to China, but because of the tariffs, and as Al pointed out, even before the tariffs, the performance athletic companies had decided to move some of their supply chains back. And I guess they were fortunate because they were a little bit ahead of some of these announcements. So basically, it's a performance apparel market right now. Regarding the second question, I'm going to hand it over to AJ.
A.J. Eaker: Sure. In terms of other assets, we've done a great job with the warehouse that we sold last year, continuing to shore up assets that do have additional value. Looking forward to closing on the Madison facility. At this time, we don't have other assets slated for sale. We're continuing to evaluate the balance sheet, of course, our footprint to look for additional opportunities. Nothing to announce at this time, but that will remain of consideration for all of us as we move forward.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.